Operator: Good morning. My name is Yoni and I will be your conference operator today. At this time, I would like to welcome everyone to Valens Semiconductor’s First Quarter 2025 Earnings Conference Call and Webcast. [Operator Instructions] Opening remarks by Valens Semiconductor management will be followed by a question-and-answer season. I will now turn the call over to Michal Ben Ari, Investor Relations for Valens Semiconductor. Please go ahead.
Michal Ben Ari: Thank you and welcome everyone to Valens Semiconductor’s first quarter 2025 earnings call. With me today are Gideon Ben-Zvi, Chief Executive Officer; and Guy Nathanzon, Chief Financial Officer. Earlier today, we issued a press release that is available on the Investor Relations section of our website under investors.valens.com. As a reminder, today’s earnings call may include forward-looking statements and projections, which do not guarantee future events or performance. These statements are subject to the safe harbor language in today’s press release. Please refer to our annual report on Form 20-F filed with the SEC on February 26, 2025, for a discussion of the factors that could cause actual results to differ materially from those expressed or implied. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events or changes in strategy. We will be discussing certain non-GAAP measures on this call, which we believe are relevant in assessing the financial performance of the business and you can find reconciliations of these metrics within our earnings release. With that, I will now turn the call over to Gideon.
Gideon Ben-Zvi: Thank you, Michal. Hello, everyone, and thank you for joining us. Valens kicked off 2025 on a high note, delivering solid performance across key metrics. We reported revenues of $16.8 million, which exceeded the top end of our guidance. GAAP gross margin for the first quarter came in at 62.9%, above the guidance and adjusted EBITDA loss was $4.3 million within the guidance range. Beyond the numbers, I’d like to highlight some of our key achievements in Q1 that reinforce my confidence in our growth potential for the near future. And I will start with our Cross-Industry Business unit, or CIB, which consists of a variety of industries, professional audio/video, industrial, machine, vision and medical. In Pro AV, last quarter, inventory digestion continued to impact our sales. But as expected, we are emerging from the bottom of the cycle. As such, we are seeing an increasing interest in our solutions, which are currently being integrated into products that are set to hit the market by the middle of 2026. The interest of our Pro AV solutions was most apparent during a couple of industry events. First, in February, we were at ISE, the industry’s most renowned international conference for innovations in video conferencing, education, digital signage, entertainment and more. There, we showcased a variety of meeting rooms setup powered by our latest chipset, the VS6320 and the VA7000. We also announced the integration of the chipset into next-gen products from top manufacturers and showcasing products from customers such as Sennheiser and Logitech. These partnerships reflect key industry trends more rooms, more displays, more video equipment, all creating more opportunities for Valens. Second, in InfoComm China in April, we were honored with a Best of Show Editor’s Choice Award in the Best Technology Application category. This award was for our innovation in USB 3 extension with our VS6320 chip and is further testament to the superiority of our technology. InfoComm China is an influential conference, and China is a large and growing market. So this sort of recognition is important as we continue to promote our chipset offering. As mentioned in previous calls, we are seeing growing adoption of our VS6320 chipset for the extension of USB 3. There are now over 70 products that have hit the market with our chip inside. Examples of recently released 6320-based products include whole technologies discovery featuring, inorganic and IPAV extenders, all of which hit the market over the last couple of months. Staying with our cross-industry business unit, I would like to discuss another industry, machine vision, where once again, a recent international conference shines the spotlight of our technology with very positive customer feedback. In March, at the Embedded World event in Nuremberg, we showcased our innovative connectivity solutions, the VA7000 and VS6320. Initially developed for the automotive and for the industries, these chipsets are already proven and mass produced and are now being repurposed to extend common use machine vision protocols. At the conference, we met with the leading players in the industry, all of whom were impressed by our technology. There is no substitute for seeing live demonstrations of our chipset and this renowned industry event was an excellent opportunity to further broaden our customer base. Our project with leading machine vision sales continue to progress, and we are confident that our A-PHY based solution will soon begin to reach this industry open. One machine vision partnership I would like to mention, which we announced just prior to the show is with RGo Robotics, and CHERRY Embedded Solutions. This collaboration integrates RGo’s advanced perception engine, Valens VA7000 chipsets and CHERRY’s Rockchip-based hardware module. The collaboration delivers unprecedented design flexibility, cost efficiency and performance for mobile machine manufacturers, enabling AI robotics applications. Valens chipsets offer a number of important advantages in this industry. First, Valens chips support the high-resolution video, increasing the precision of automated machine vision solution. Second, the Valens chips are standardized, facilitating the implementation of smaller form factor camera modules. Third, like all our other chips, Valens solutions are the most – in resilience on the market, important for ensuring 24/7 operation in the noisy electromagnetic environment of the factory floor. And fourth, due to the ability to operate over low-cost cables and connectors, these chipsets enable significant total system cost reduction. Here is what the head of BD and CHERRY had to say, and I quote, the addition of Valens VA7000 MIPI A-PHY connectivity into our portfolio opens new opportunities for our platform. The Co-Founder and CEO of RGo Robotics agreed and I quote again, our Robotics Perception Engine demands high-quality video data, and that’s exactly what Valens’ connectivity solution provides while allowing us to distance the processing unit from the sensors. Next week, at Automated Choice, we will be showcasing our machine vision solutions with partners that are adding A-PHY technologies to their platforms such as D3 embedded and Framos. In addition, our A-PHY chipset has been short-listed for the shows, innovation award. We are very proud of this industry’s recognition. In all, we continue to support our customers in bringing solutions to the market based on our VA7000 and VS6320 chipsets, and we are confident that the machine vision industry will become an even more significant source of revenues for us before long. We expect initial revenue from the end of 2026 with significant potential growth during the following years. I would like to turn now to the automotive industry. As a reminder, our opportunity in automotive is dominated by the VA7000 chipset, the first in the industry to comply with the MIPI A-PHY standard for high-speed sensor connectivity. Late last year, we announced 3 design wins with leading European OEMs solution, gaining a strong foothold for A-PHY within the OEM community. The momentum for MIPI A-PHY continued to build in Q1 2025 as we announced two significant milestones. The first is that Mobileye, a global leader in ADAS systems, selected our chips for the in-car sensor to compute connectivity infrastructure for Mobileye’s EyeQ6, high production programs underway with a group of global automotive brands. That is to say the design wins we announced last year came about through a strong collaboration with one of the most central automotive Tier 1 in the industry, Mobileye. Most importantly, in announcing this partnership, we are signaling to the OEM community that A-PHY has the backing of a key industry player like Mobileye and that they will be working with us to bring this solution to other OEMs around the world. Here is what the Executive Vice President of Engineering and Mobileye’s said, MIPI A-PHY delivers efficient and robust high-performance standardized connectivity and we look forward to working with Valens to broaden the MIPI A-PHY ecosystem and deliver this technology to more market-leading automakers. The second significant milestone that we announced is the successful interoperability with 7 vendors of A-PHY Silicon. Not that interoperability is a hallmark of any true standard. So having multiple suppliers for MIPI A-PHY can only broaden the A-PHY site or the A-PHY as I like to call it. I will make special mention to one of these A-PHY vendors, OmniVision, a global supplier of imaging solutions of automotive OEMs, which is integrating A-PHY directly inside the sensor. After Sony, OmniVision is the second major company to announce this type of integration, which is only possible because A-PHY is a standard. Heng Fan, Senior Director of design at OmniVision said, integrating MIPI A-PHY directly into our sensors provides significant value for our OEM customers and partners. I would like to take a moment to discuss the growth of MIPI A-PHY in China. We are hearing that the Chinese automotive ecosystem is rapidly adopting the A-PHY standard from a variety of local A-PHY silicon vendors to Tier 2 and Tier 1 suppliers designing around this specification to significant interest from OEMs in this technology. Of course, China is unlike any other country in the world. They are fast to adopt new technologies, but there are also a series of regulations that we are required to adhere to when attempting to penetrate this market. To address some of these challenges, we have partnered with a local Chinese firm, ESWIN Computing to present Chinese automakers the opportunity to source locally manufactured production-ready MIPI A-PHY chipsets for both sensor and display connectivity. This partnership allows us to access the large and growth MIPI A-PHY business opportunity that exists in the Chinese market. Additionally, with regards to our activities in China, we were proud to display our A-PHY technology at the Auto Shanghai Conference at the end of April. At our booth, we unveiled a number of A-PHY demonstrations with major players in the automotive industry. First, we had Qualcomm’s Snapdragon Ride for evaluation platform with A-PHY connectivity. Second, we had Chinese Tier 1 supply beside – with A-PHY surround system. Third, we had the RGo Robotics journeys platform with A-PHY and finally, an ADAS reference design with Sigmaar based on A-PHY. It’s clear that the momentum around A-PHY continues to build. We continue to participate in several evaluation processes at various stages with multiple OEMs. With that, I will turn the call to Guy to discuss our financial performance in more detail.
Guy Nathanzon: Thank you, Gideon. I’ll start with our first quarter 2025 results and then provide our outlook for the second quarter. We achieved quarterly revenue of $16.8 million, which exceeded our guidance of between $16.3 million to $16.6 million. This compares to revenue of $16.7 million in Q4 2024 and $11.6 million in Q1 2024. The Cross-Industry Business or CIB accounted for $11.7 million or approximately 70% of total revenue, while automotive contributed $5.1 million or approximately 30% of total revenue this quarter. This compares to Q4 2024 revenue of $11.7 million from CIB and $5 million from automotive, which represented 70% and 30% of total revenue, respectively. It also compares to Q1 2024 revenue of $7.2 million from the CIB and $4.4 million from automotive, representing 60% and 40% of total revenue, respectively. In Q1 2025, gross profit was $10.6 million compared to $10.1 million in the fourth quarter of 2024 and compared to $6.8 million in the first quarter of 2024. Q1 2025 gross margin was 62.9% compared to our guidance of between 60.8% and 61.3%. This compares to Q4 2024 gross margin of 60.4% and Q1 2024 of 59%. On a segment basis, Q1 2025 gross margin from the Cross-Industry Business was 69.1% and gross margin from automotive was 48.4%. This compares to a Q4 2024 gross margin of 64.7% and 50.5%, respectively, and a Q1 2024 gross margin of 77.2% and 29.1%, respectively. The increase in gross margin of the Cross-Industry Business, CIB, compared to Q4 2024 was due to an inventory adjustment in Q4 2024. The increase in Q1 2025 automotive gross margin compared to Q1 2024 was due to an optimization of our product costs. Non-GAAP gross margin in Q1 was 66.7%, which compares to a 64.5% in Q4 2024 and 62% in Q1 2024. Operating expenses in Q1 2025 totaled $20 million compared to $18.5 million at the end of Q4 2024 and $18.1 million in Q1 2024. Research and development expenses in Q1 totaled $10.6 million compared to $10.1 million in Q4 2024 and $10.1 million in Q1 2024. SG&A expenses in Q1 were $9.3 million compared to $8.3 million in Q4 2024 and $8 million in Q1 2024. GAAP net loss in Q1 was $8.3 million compared to a net loss of $7.3 million in Q4 2024 and a net loss of $10 million in Q1 2024. Adjusted EBITDA in Q1 was a loss of $4.3 million within the guidance range of a loss between $4.5 million and $4.2 million. This compares to an adjusted EBITDA loss of $3.7 million in Q4 2024 and an adjusted EBITDA loss of $7.1 million in Q1 2024. GAAP loss per share for Q1 was $0.08 compared to a GAAP loss per share of $0.07 for Q4 2024 and a GAAP loss per share of $0.10 for Q1 2024. Non-GAAP loss per share in Q1 2025 was $0.03 compared to a loss per share of $0.02 in Q4 2024 and a loss per share of $0.07 in Q1 2024. The difference between GAAP and non-GAAP loss per share was due to stock-based compensation and depreciation and amortization expenses. Now turning to the balance sheet. We ended Q1 2025 with cash, cash equivalents and short-term deposits totaling $112.5 million and no debt. This compares to $131 million at the end of Q4 2024 and $139.8 million at the end of Q1 2024. In November 2024, we announced a first share repurchase plan of up to $10 million and in February 2025 on another plan of up to $15 million. During the quarter, we spent $9.6 million on both plans. Our working capital at the end of the first quarter was $119.8 million compared to $133.6 million at the end of Q4 2024 and $153.3 million at the end of Q1 2024. Our inventory as of March 31, 2025, was $10.9 million, a slight increase from $10.2 million on December 31, 2024, and down from $12.5 million on March 31, 2024. Now I would like to provide our guidance for the second quarter of 2025. We expect Q2 revenue to be in the range of $16.5 million to $16.8 million. We expect gross margin for Q2 of 2025 to be in the range of 63% to 64%, and we expect adjusted EBITDA loss in Q2 2025 to be in the range of $4.9 million to $4.4 million loss. Before turning the call back to Gideon, I want to refer to the new tariffs. While semiconductors are currently exempt from these tariffs, it is still too early to estimate the direct impact on our operations and the impact on our customers’ end market demand. We are closely monitoring the situation, and we will provide updates to the investment community as we get more information. I’ll now turn the call back to Gideon for his closing remarks before opening the call for Q&A.
Gideon Ben-Zvi: Thank you, Guy. We believe that Valens Semiconductor is well positioned for a return to growth in our target markets, leveraging our industry-leading technology and robust balance sheet. We remain committed to executing our long-term strategy to drive renewed growth and profitability. Before opening the call for questions, I want to express my gratitude to the entire Valens Global team for their ongoing commitment and dedication. With that, I will open the call to answer your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question is from Rick Schafer of Oppenheimer. Please go ahead.
Wei Mok: Hi, this is Wei Mok on the line for Rick and thanks for taking the question. Firstly, congrats on the Mobileye win. I was wondering how does this partnership change the dynamic in which you pursue future OEM wins with A-PHY? Since Mobileye is already collaborating across several OEMs, does that by virtue mean you will be working closely with those OEMs?
Gideon Ben-Zvi: Hi, Rick. Thank you for your question and I’m happy to answer about – actually, it’s almost an invited question for me. The Mobileye collaboration is a collaboration which is purely on quality. What Valens provided here is the need to elevate in the quality and the bandwidth of cameras that are coming into the ECU of Mobileye, a need that, of course, is more resolution, as more bandwidth more exposed to a noise that can ruin the whole system. And we proved that by this elevation and by this increase in bandwidth, we can do things which others can’t. And this is the nature of the deal. About how it will influence is other deals, it’s time to tell, but the essence is that Mobileye is moving up, is elevating their capabilities and requires better cameras, which provide more data, and we are there for them. So we believe even those systems that initially they are installed or have their own design wins with other chips, those customers would like to elevate in some stage, and then we will be there. I guess that if you ask Mobileye, they would – as I have said in the press release, they see our solution as a solution that is taking – helping them take the connection between the camera and to the ECU up. I hope I answered exactly what you – but Wei, if it’s not the answer, let me know.
Wei Mok: No, yes. I was just wondering, because Mobileye is already working with other large OEMs, are you working directly closer to those OEMs, or will you still be pursuing OEM design wins independently?
Gideon Ben-Zvi: Of course, we are – this market is the market, everyone speaks to everyone. And the influence is quite a matrix if you look at it from above. And yes, we need the customers and need Mobileye and this market is a market that’s Tier 1s and Tier 2s and OEMs are knowing each other. It’s – OEM is always aware who is the Tier 2 that to the Tier 1 and sometimes even the whole negotiation is done between the Tier 2 and the OEM and only the technical and the delivery is done through the Tier 1. The case of Mobileye is different because Mobileye are acting in the market on both as Tier 1 and Tier 2. So, actually all answers are right. Sometimes you fix the OEM, Tier 1, sometimes to both. But in all cases, the OEM is fully aware and involved in the decision as we will be the service.
Wei Mok: Okay. Got it. That’s clear. Thank you. And as for my follow-up is on tariffs, I really appreciate the color that you are not seeing any direct impacts, so what gives you this level of visibility? And while there is no direct impact, are you seeing any second or third order effects, so any indirect impacts to your business from tariffs?
Guy Nathanzon: Of course, this is something that we cannot disclose at this stage, but the nature of this market that an OEM, which is very prestigious has the circles around and the circles around, and that’s the whole idea of our business model is to create a presence to start with the strong – with those give us the credibility and to move on. And when we will have news to announce, believe me, we will not wait a minute.
Wei Mok: Great. Thank you.
Operator: The next question is from Quinn Bolton of Needham & Company. Please go ahead.
Quinn Bolton: Hey guys. Let me offer my congratulations on the steady results. I wanted to follow-up on the Mobileye question. Gideon, you mentioned that as camera resolution and bandwidth goes up, that hopefully pushes solution or customers to adopt your solution. Can you give us a sense, is there a camera resolution where the incumbent technology that Mobileye uses with a large semiconductor competitor maxes out? Like, are we talking 8 megapixel resolutions? Does it have to be something higher? Just any kind of metrics around the resolution where the MIPI A-PHY standard may really start to show dramatic benefits relative to the Texas Instruments FPD-Link technology?
Gideon Ben-Zvi: Thank you very much for the question, and I would be happy to answer without drilling too much into technology because the answer is quite technique, and I will try to leave it in a way which is not too technique. I hope I will succeed. Bandwidth is not only resolution. Bandwidth is also frames per second. It’s also how many pixels, how many bites per pixel, bits per pixel, all of these together create the bandwidth. The higher the bandwidth, the more exposed is to noise. And this is something which is quite not intuitive. When we move from a 4-gigabit bandwidth to 8-gigabit bandwidth, we move to twice the bandwidth. But the fragility and the exposure to noise is not wise. It’s not linear. It’s far more, meaning that if a car that is moving to a higher bandwidth will be driving near a cellular antenna on a bridge or near a truck or whatever, the result can be lost frames and lost frames meaning that missing the red light or missing the passenger or missing something. Now, as the calculation of what the bandwidth is, whether it’s 8 megapixel camera or 4 megapixel camera, 30 or 60 or 24 frames per second or 10, 12, 14 or whatever number of pixel. Each of them has its calculation. And yes, they can play with it. They can definitely decide to move one up and one down in order to stay with lower bandwidth and use the incumbent technology in order not to move to the next stage and sometimes they do it. But there is a level that they cannot do it anymore. And they understand that in order to move to the next stage of quality of the ADAS, it requires the next mode of the quality of information. It is retrieved in order to digest it and make a decision. Red light, yes or no, passenger, yes or no, bicycles, yes or no, and sometimes – not sometimes, often, this requires only one way to know it is enough information. Of course, the other side is the quality of the Mobileye, which is of course, a supreme system that analyzes it, but you need a certain level of information to analyze. I want to go on something very detailed, if I may. Think about a car that is going and it has – the speed it is going, breaking distance is 150 meters. But there is a very small foot of a child just out of the sidewalk in 100 meters. A certain resolution or certain bandwidth will not see the foot of the child, and this is exactly how to prevent casualty or accident by going upwards resolution. I hope I was not too technical and I gave the answer.
Quinn Bolton: No, that was very helpful. I wanted to follow-up. You mentioned the MIPI A-PHY interoperability testing in China and your work with the local partner. I guess two questions there. Can you give us some sense how those – how you are progressing in terms of conversations with Chinese auto OEMs? When could you start to see adoption of your solution in the China market? And to the extent you are working with that local partner, does that have any impact on profitability or margins for your solution since you are working with that partner on the go-to-market strategy?
Gideon Ben-Zvi: Yes, there are several sections in this question, I will try not to miss any of them. First, China become a place of innovation. And we are very happy to see that innovation and A-PHY goes together. There is no place that A-PHY has been accepted in the market more than China, and we see so many A-PHY players, and we are helping interoperability to everyone. We are happy to bring competitors to the market even if they eat part of our lunch. And we do it because at the end of the day, we have a superior technology and a lot of those chips would be acquired, they purchase from us. So, we help the ecosystem, and we are happy to see how the ecosystem is vibrant and how the ecosystem is active. So, this is about A-PHY in China. About us in China, yes, we are – China has often need – requires different business models. This business models without getting too detailed, requires JVs and other, I would say, mechanics in order to penetrate the market. And we adopt them. We don’t try to teach the Chinese the Israeli way, the opposite. We are trying to learn the Chinese way. And in order to penetrate the market, we understand that we need to do some adjustment, if we do those adjustments. And the last question is whether we speak to OEMs. Of course, we do. You know that there are many, many OEMs in China. There are many mergers. There are many – it’s a lot of activities. And I believe that we are very well aware and accepted in China as a superior technology. I believe that there is most, if not all of the Chinese manufacturer know about A-PHY and it is an option, know about Valens, it’s an option. And we are working very hard in order to create news for us and for the markets.
Quinn Bolton: Okay. Great. And then just last quick one for Guy. You guys gave 2025 guidance, I think originally back at the Analyst Day late last year. I think you reiterated on your last conference call. I didn’t see any comment about 2025 guidance. I am not sure if you are willing to reiterate that this morning or whether you are pulling that guidance given some of the tariff uncertainty. But just any comment on the 2025 annual guidance?
Guy Nathanzon: At this stage, there is no change on the guidance. We keep them as we said. And yes, we are closely tracking the situation and the impact of the tariffs. And if there is any change, we will let you know. But at this stage, we keep everything as is.
Quinn Bolton: Perfect. Thank you.
Gideon Ben-Zvi: Thank you.
Operator: The next question is from Suji Desilva of ROTH Capital. Please go ahead.
Suji Desilva: Hi Gideon. Hi Guy. Congrats on the steady results here. Switching over to the CIB segment, as you talk about the mid-‘26 ramp of some of the newer products, can you talk about which end markets might lead that professional AV, industrial, machine vision or medical? And then which products would lead the ramp? Was it – is it VA7000 or VS6320 or will it be both together?
Gideon Ben-Zvi: Okay. There are – we are active in several markets in the CIB. There is traditional Pro AV, the market which suffered from inventory digestion, and we look that there is recovery in the market. There is a market which is – it is somehow can be called Pro AV, but it’s in AV more than Pro AV, which is the conference rooms, a market which we are helping to ramp it up. It needs definitely with the 6320 and somehow with the 3000, we are from the VS family. And if we are moving to a USB 3 extension and to an extension of industrial camera, both the VS6320, the chip that was made for the audio-video and the VA7000 series for automotive, both of them find a way to extension and connecting cameras in the industrial world to the computing power that calculates and help monitoring the industrial process. So, the answer is that in the industrial machine vision support both the chips from automotive and audio-video with very few changes in notification being found the chips that are suitable for this market, which we are very happy about this reuse.
Suji Desilva: Okay. Alright. Thanks Gideon. And the other question really is – I am sorry, go ahead. On the financial model, given where do you think the breakeven revenue is kind of revisiting what you talked about at the Analyst Day, perhaps? And then what do you think the expected CIB/auto mix would be at that point?
Gideon Ben-Zvi: Well, it is a question of thinking timing. We see the progress in all the three sections of CIB and automotive and audio-video. Of course, automotive is everyone knows, is the slowest in the market. We thought that CIB will be slower than AV. We are not sure it is. CIB, there is a lot of enthusiasm in the market, and we hope it is definitely faster than automotive. The question whether it’s slower than audio-video or not. We are in the stage of understanding it. I believe it is a lot closer in the speed to audio-video than to automotive. So, the mix of the three is very much depends on timing. I guess that when we will be at this breakeven point we spoke, it will be not a third, third and third, but maybe not very far away from there. But it’s very hard to give you exactly what will be the mix and what will be the mix. But probably Guy should elaborate here more than I do.
Guy Nathanzon: Thank you, Gideon. Hi Suji. So, I will give you again the data we have provided during the Analyst Day. First of all, we expect to be EBITDA positive at annual run rate of revenue of $120 million roughly a year. We did not say when we expect it to happen. We said about the guidance for ‘25. And we said where is our goal for 2029, which is anywhere between $220 million to $300 million by 2029. The second element, we said what are the expectations on 2029 of the allocations. And we said that we expect to have the CIB anywhere between $90 million to $100 million of revenue, and we expect to see on automotive $65 million to $110 million, Machine vision and industrial, $35 million to $50 million and for potential acquisitions, $30 million to $40 million, altogether, $220 million to $300 million of revenue by this year. We did not say or mention anything about the allocation of the different verticals or segments in the breakeven point, in the EBITDA positive point, because first of all, we have still limited visibility to answer this question. But we – I can say the following. We said that we expect initial ramp-up from the CIB business starting from ‘25 and beyond, Machine vision and industrial from ‘26 and beyond and ramping up of the revenue in the automotive from ‘27, late ‘26, ‘27 and beyond. I think that these are the inputs we gave during the Analyst Day. I think that that probably can help you do the calculation on the specific question you have asked.
Suji Desilva: Thank you. Thanks. Very helpful. Guy, Gideon, thanks.
Gideon Ben-Zvi: Thank you.
Operator: The next question is from Robert Lynch of Stonegate Capital Partners. Please go ahead.
Robert Lynch: Hi Gideon. Hi Guy. This is Robert Lynch on for Dave Storms. I just have a couple of questions here. The first one is just around margins, and I apologize if this is repetitive. Automotive gross margins improved significantly in Q1 to 48.4% from 29.1% just a year ago. Can you provide more detail on what drove this improvement? I understand it came from optimization of product cost. But if you could just provide more color on what specific initiatives allowed for a decrease in costs? And do you find these margin levels to be sustainable, going forward here?
Guy Nathanzon: So unfortunately, I don’t have too much to say above what we said. We do ongoing efforts to improve the cost of manufacturing, and we do different type of things all the time. Specifically in Q4, we had some inventory adjustments we said in Q1, we did not. But I would call it kind of ongoing efforts and routine activities in order to improve the margin all the time. In addition, typically, we have also the element of the product mix, which also has some impact on the gross margin. So, these are the typical elements that influence the gross margin of the company.
Robert Lynch: Okay. Understood. I really appreciate the color there. And just had one more around working capital, given the slight volatility here in the supply chain, excuse me, how are you approaching working capital management to balance inventory levels as well as liquidity and the flexibility needed to meet customer demand amid these macro headwinds, anything there?
Gideon Ben-Zvi: Well, there are two parts of the question. I will take the first one. Because of Valens’s very strong balance sheet, our policy is zero risk in being a very good supplier to our customer. And because we know the digestion now is very stable, we rather have a bigger buffer and continue to be a company that each of our customers will complement us, and this is part of the company’s pride. And I think this is one of the better use of capital and this is the part of the question. I guess Guy would take the second part.
Guy Nathanzon: So, I think that eventually, lead time got back to normal levels of the pre-COVID. And that means both lead time that Valens provides to its customers and the same – and the opposite Valens gets from its suppliers. So, we are trying to manage the inventory in the most efficient way that we could, adjusting the lead time and keeping some buffers in order to make sure that we can always supply on time. And this is the way we maintain the inventories.
Robert Lynch: Okay. Great. Thank you, Gideon. Thank you, Guy. That’s all for me. Congrats on Q1 and good luck in Q2.
Gideon Ben-Zvi: Thank you.
Guy Nathanzon: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Mr. Ben-Zvi, would you like to make your concluding statement?
Gideon Ben-Zvi: Yes, please. Thank you. I would like to thank you all for joining us for the questions and for the discussion and joining us today for our first quarter 2025 earnings call and for your continued support and interest in Valens Semiconductor. Hope to meet you again in our next earnings call, and thank you and goodbye.
Operator: Thank you. This concludes the Valens Semiconductor results conference call. Thank you for your participation. You may go ahead and disconnect.